Operator: Greetings and welcome to The Hain Celestial Group Fourth Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Anna Kate Heller for opening remarks. Thank you. You may begin.
Anna Kate Heller: Thank you. Good morning, and thank you for joining us on Hain Celestial’s fourth quarter and fiscal year 2020 earnings conference call. On the call today are Mark Schiller, President and Chief Executive Officer; and Javier Idrovo, Executive Vice President and Chief Financial Officer. During the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These include expectations and assumptions regarding the Company’s future operations and financial performance, including expectations and assumptions related to the impact of the COVID-19 pandemic. These statements are based on management’s current expectations and involve risks and uncertainties that could differ materially from actual events and those described in these forward-looking statements. Please refer to Hain Celestial’s Annual Report on Form 10-K, quarterly report on Form 10-Q and other reports filed from time to time with the Securities and Exchange Commission and its press release issued this morning for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. The Company has also prepared a few presentation slides and additional supplemental financial information, which are posted on Hain Celestial’s website under the Investor Relations heading. Please note management’s remarks today will focus on non-GAAP or adjusted financial measures. Reconciliations of GAAP results to non-GAAP financial measures are available in the earnings release and the slide presentation accompanying this call. As a reminder, beginning in Q1 of fiscal year 2020, the Company changed its segment reporting to focus on North America, International and Corporate, which had previously been reported as the U.S., UK and Rest of World segments. This call is being webcast, and an archive of it will also be available on the website. I would also like to note that we are conducting our call today from our respective remote locations. As such, there may be brief delays, cross talks or other minor technical issues during the call. We thank you in advance for your patience and understanding. And now, I’d like to turn the call over Mark Schiller.
Mark Schiller: Thank you, Anna Kate, and good morning, everyone. Before we begin, I’d like to thank our global team for their collaboration, agility, and compassion throughout the pandemic. We continue to operate in a very dynamic environment with the health and wellbeing of our employees, customers, and consumers remaining our top priority. On today’s call, I’ll discuss our strong fiscal ‘20 results, including the impact of COVID-19, explain how we’re setting ourselves up for sustainable long-term growth and provide some color around our fiscal 2021 expectations. Let me start with our full fiscal year 2020 results. For the year, we delivered against all planned metrics that we provided in our beginning of year guidance and ended the year with adjusted EBITDA at the high end of our revised guidance range, which we raised at the end of Q3. For the year, net sales declined 2.4% as reported, but grew 3% in constant currency excluding divestitures, discontinued brands, and SKU rationalization. We exited the year with two consecutive quarters of total Company sales growth after eight quarters of declining top-line. Gross profit and margin and adjusted EBITDA margin in dollars grew every quarter, consistent with fiscal ‘20 guidance that we provided last summer. Importantly, our adjusted EBITDA dollars grew 21% for the year while increasing our marketing spending. The North America business continued its successful transformation, resulting in over 400 basis points of adjusted gross margin improvement and 380 basis points of adjusted EBITDA margin improvement, and adjusted EBITDA dollars grew 43.2%. Within North America, the Get Bigger brands grew 6.4% for the full year, in line with our Investor Day guidance. That compares positively to our planned decline in the first half of fiscal 2020 with modest improvement in the second half. The Get Better brands, which are being managed for profit grew adjusted EBITDA dollars 214% and improved adjusted EBITDA margin a very strong 600 basis points to 8.4%. You’ll recall that this set of brands had a collective EBITDA margin of just 2% on Investor Day last year, and is now contributing significantly to our overall success. The International business delivered sales that were close to flat in constant currency for fiscal ‘20, with modest gross margin and adjusted EBITDA margin expansion. We achieved these results despite the significant decline of our large foodservice oriented fruit business, which was impacted by COVID in the second half. Adjusted earnings per share increased 40% year-over-year and exceeded our guidance. While the business has performed exceptionally well, over-delivering our plan, the pandemic did accelerate performance in the second half of the year. COVID-19, which I will discuss more in a few minutes, added an additional $20 million in net sales, mostly in Q3 with about $10 million to $12 million of adjusted EBITDA for the year split between Q3 and Q4. The North America business benefited more than that, partially offset by an International fruit business which was adversely impacted. All-in-all, it was a great year for Hain with terrific results before the pandemic and great execution during the pandemic leaving us with tremendous momentum as we head into fiscal ‘21. Now, let me shift to talking about Q4 specifically. While Javier will provide more detail in a few minutes, yet again, our team delivered against all of our key profit metrics and delivered the top end of the raised guidance we gave at the end of Q3. Gross margin and adjusted EBITDA dollars and margin were each up over 200 basis points. That’s the seventh straight quarter of adjusted EBITDA dollar improvement and fourth straight quarter of adjusted EBITDA dollar growth. Within the divisions, North America gross profit grew 20% in the quarter and adjusted EBITDA grew 46% versus a year ago. On the Get Bigger brands, which represent two-thirds of our North America sales, we guided that the second half would show improvement in the top-line compared to low-single digit in the first half. After strong double-digit top-line growth last quarter, our Get Bigger brands delivered an even stronger Q4. We grew sales in all of our Get Bigger categories and have seen relatively stable double-digit consumption growth during the last five months of the pandemic, after the initial surge in March. In addition, EBITDA margin for the quarter was almost 18%, inclusive of an investment in marketing in the quarter. On the Get Better brands, we continue to focus on improving profitability, and in quarter four our gross margin and adjusted EBITDA margins grew 300 and 360 basis points respectively. Sales of the Get Better brands also improved to virtually flat after adjusting for divestitures and discontinued brands, driven by strong momentum in our center of store cooking brands. Turning to International, we delivered slight negative top-line in constant currency with modest margin improvement in adjusted EBITDA margin. Within International, we had strong growth in a number of our number one and number two brands in constant currency, with non-dairy beverages continuing double-digit growth that started last year. However, we did see significant declines in our foodservice oriented fruit business, which is 20% of our International sales. Excluding the fruit business, Q4 International net sales would have been up over 10%. So clearly, the remainder of our International business is performing well. In addition, the fruit business was a 270-point drag on the International adjusted EBITDA margins in fourth quarter, due to significant stranded overhead and input costs. We undertook significant reductions in SG&A during the fourth quarter to mitigate that impact, and the benefit of those changes will be seen in future quarters. We’re pleased with much of our results within our International, but we believe there’s still significant opportunity to focus resources, expand margin and share best practices. As a result, we are adopting much of the U.S. playbook there and have consolidated down to only two distinct divisions from five, when I joined Hain in late 2018. This organizational simplification will create significant opportunities that will begin to impact our financial performance later this year. For the quarter, COVID had virtually no net impact on top-line of the total Company, although there was a clear benefit in North America, offset by the fruit business decline in the UK. From an adjusted EBITDA standpoint, we delivered a total impact of about $4 million -- or $5 million to $6 million in the fourth quarter. In Q4, we were also successful in continuing our efforts to simplify our business. We sold or discontinued four brands including Rudi’s, BluePrint, Fountain of Truth, and DeBoles. These brands contributed a total of $27 million in sales and a loss of approximately $1 million in adjusted EBITDA. Last month, we also sold our Danival business in Europe after the quarter ended. This brand had sales of $22 million and adjusted EBITDA of $1 million. So, as you can see, we continue to have success selling or exiting small and non-strategic brands that consume a disproportionate share of management time and add supply chain complexity. Without them, we can redeploy and focus our resources on bigger growth opportunity, which will further strengthen our results. Overall, we’re proud of the strong quarterly and annual results we just delivered. As laid out on Investor Day, our transformation plan is clearly working and delivering results, particularly in North America. Our strategies of simplification, capability building, cost containment and profitable growth have enabled exceptional execution during the pandemic. Many initiatives which were underway before the pandemic, accelerated performance within the quarter, innovation, marketing and assortment optimization have already started delivering top-line acceleration. Initiatives like consolidation of the U.S. and Canada into one North America operating entity, automation in our plants and the elimination of low-margin SKUs were already lowering our costs. While we, as most CPGs, have benefited from COVID thus far, we have confidence that the improvements made before and during the pandemic will continue going forward. The Get Bigger brands, which are the foundation of our growth agenda have been particularly strong and have significant momentum that we believe will endure well into the future. Let me provide a few statistics. Since the pandemic began, we’ve had nearly 2.5 million new households try our Get Bigger portfolio, a 10% increase in household penetration. Velocities in buying rate improved as well with 18.6% more repeat buyers than year ago. We’ve excelled in all four of our priority Get Bigger growth categories, Celestial Seasonings tea increased household penetration by 37% and repeat buyers by 25% since the pandemic began, with both metrics outpacing the category. For the most recent 12 weeks, Celestial Seasonings also gained a full share point with velocity growing over 40%, again outpacing the category. Our TeaWell innovation continues to expand distribution and is performing very well. And we’re bringing out 14 new SKUs this fall with new category benefits. In snacks, Hain was growing new buyers and repeat rates before the onset of the virus. During COVID, we continued to add new buyers and repeat purchases improved 8%. Sensible Portions led the way, growing share significantly and delivering double-digit top-line growth on top of double-digit growth last year. Our Screamin’ Hot innovation has very strong velocities and we continue to expand distribution, and we have innovation on Garden of Eatin Terra, which will ship later this year. In yogurt, Greek Gods added more buyers and improved repeat rates more than any other leading yogurt brand in the category. And we also gained share, grew TDPs and grew up velocity well ahead of the category. Our advertising has been working and strengthens our brand point of difference, keto yogurt which we’ve been -- just started shipping, addresses one of the big barriers for trial on the brand. Within personal care, which was negatively impacted at the beginning of the pandemic, when consumers were self isolating, we have also had much success. Much of our business skews toward our measured channels, like e-commerce and parts of club and the natural channel where we have significant sales, when accounting for all channels, our personal care portfolio is growing 30% faster than what you can see in the 12-week MULO data with Alba and Live Clean consumption for both brands growing more than 40%. We’ve launched a number of new products, including our hemp line that is also off to a great start. So, in summary, we’ve had significant strength across the Get Bigger portfolio in Q4. Sales, share, velocity, household penetration, new trier repeat rates and margin are all growing. Consumers have tried our products for the first time during the pandemic and are repeating. Our marketing and innovation are working. We’ve sharpened our pricing. Our supply chain and in-store execution has delivered. Given the terrific results that we just delivered, our strong execution during the pandemic and the momentum we have entering ‘21, we’re set up for a great year and have complete confidence in the things we control. That said, as we turn to fiscal ‘21, consistent with most of our peers, we have decided not to provide specific guidance. On my first day, I committed to you a culture of credibility. And while I have complete confidence in our team, our brands and our business plans, given the unprecedented volatility and uncertainty of COVID’s impact on consumers, customers and the economy, there are many unknowns that make it difficult to provide specific guidance. Having said that, we have enough visibility into our plan that we can provide you with confidence some directional information. First, we expect continued gross profit dollar and margin expansion in fiscal ‘21. We also anticipate delivering strong double-digit growth in adjusted EBITDA dollars and continued EBITDA margin expansion. Given the current at-home eating trends and the impact it’s having on our top-line, we are expecting the first half of fiscal ‘21 to be stronger on both, the top-line and bottom-line with the second half, as we are assuming that the current eating-at-home trends moderate throughout the year. Top-line should grow in first half, adjusted for divestitures and discontinued brands with the Get Bigger brands in North America growing double digits, continuing the momentum delivered in the second half of last year. While we’re expecting a slowing of growth in the second half of fiscal ‘21 in reality, the outlook for the second half of the year is less clear, given the macro factors discussed and the need to lap the growth associated with the pandemic. That said, compared to pre-COVID second half of fiscal ‘19, we expect strong growth in gross profit dollars, gross margin, EBITDA dollars and EBITDA margins. Normally, we wouldn’t give out headlines within the current quarter, but because we aren’t giving specific guidance for the year and are already two thirds of the way through the quarter, we also have some directional information on Q1. For the quarter ending September 30th, we expect mid-single-digit top-line growth after adjusting for divestitures and discontinued brands with margin improvement and adjusted EBITDA growth, comparable to what we delivered in the second half of fiscal ‘20. When I joined Hain, I committed to provide a new level of transparency and I also committed to deliver what I promised. So, I want to make sure I continue to do both and providing as much detail as I can reasonably forecast at his time. With that, let me turn it over to Javier who will give you more details on our financial performance and fiscal ‘21 expectations.
Javier Idrovo: Thank you, Mark, and good morning, everyone. There are five key aspects of the fourth quarter financial information that we will review today that demonstrate significant performance from the execution of our transformation plan. First, we delivered top-line growth versus prior year for the second consecutive quarter. Second, our growth was supported by continued margin expansion. Third, we are generating much better cash flows. Fourth, we have built a healthy balance sheet with excellent capital allocation flexibility. And finally, our business is well-positioned for continued success. So, let’s drill into each of these aspects, starting with the top-line. Keep in mind, I will focus my discussion on our financial results from continuing operations. Fourth quarter consolidated net sales increased 1% year-over-year to $512 million, in line with our expectations. Foreign exchange impact on the quarter was a headwind of 150 basis points, divestitures, brand discontinuations, and SKU rationalizations were a further headwind of about 430 basis points. When adjusting for these factors, net sales increased 7% versus the prior year period. From a profitability perspective, as we have guided, Q4 delivered year-over-year improvement in both, adjusted gross profit and EBITDA and adjusted gross margin and EBITDA margin. Specifically, for the fourth quarter, adjusted gross profit increased 13% versus the prior year period to $129 million. Currency impact on gross profit was a headwind of about $2 million. Gross margin improved 260 basis points, driven by a top-line growth, improved product mix, better overhead absorption in our plants and significant supply chain productivity initiatives. Distribution and warehousing costs as a percentage of sales improved versus the prior year period, driven by the consolidation of shipping locations, resulting in fuller truckloads. The North America SKU rationalization that started last year also helped fuel our quarterly consolidated gross margin. As regular business practice, we continue to evaluate our portfolio for further simplification to position ourselves for success in this dynamic operating environment. For Q4 SG&A, as a percent of net sales was 16.9%, right in line with the prior year period. This performance was achieved by consolidating our North America operations into one entity and COVID-related reductions in travel offset by increased marketing spending of about 9% and increased incentive compensation accruals to match our stronger performance. Fourth quarter adjusted EBITDA increased to $62 million, compared to $49 million in the prior year period. This represents a 26% increase versus Q4 last year. Currency impact on adjusted EBITDA was a headwind of about $1 million. Adjusted EBITDA margin of 12% represented an improvement of about 240 basis points year-over-year, driven by gross margin improvement. We reported adjusted EPS of $0.32 based on an effective tax rate of 26.1% compared to $0.19 in Q4 last year, with an effective tax rate of 27.5%. The lower tax rate was mainly driven by our lower yield inclusion than in the prior year period. Now, to provide some detail on the individual reporting segments, let’s start with our North American business where we saw net sales and profit growth as well as profit margin expansion. Starting with the top-line, fourth quarter net sales increased 5% year-over-year to $299 million. Foreign exchange impact on the quarter was about 50 basis points. Divestitures, brand discontinuations and SKU rationalizations were a further headwind of about 800 basis points. When adjusting for these factors, net sales increased 13% versus the prior year period. From a profitability perspective, Q4 delivered year-over-year adjusted gross margin and dollar expansion and adjusted EBITDA margin and dollar expansion. Specifically for the fourth quarter, our North America business expanded adjusted gross margin by about 350 basis points, resulting in adjusted gross profit of $83 million or an increase of 20% versus Q4 last year. This improvement was mostly driven by our stronger top-line, product mix towards the higher margins Get Bigger brands and productivity initiatives and efficiencies in our supply chain system. Adjusted EBITDA increased to $44 million, compared to $30 million in the prior year period, a 46% increase. Currency impact and adjusted EBITDA was minimal. Adjusted EBITDA margin of 14.7% represented an improvement of about 420 basis points over the prior year period, driven by gross margin improvement. Our North America region has delivered great results thus far. And as Mark mentioned, we believe, we are well positioned for further improvement in fiscal 2021. Our team remains focused on executing against multiple opportunities that we have identified for further improvement of our margin structure. Looking into the components of the North American portfolio, the Get Bigger brand experienced 18% net sales growth. The tailwinds from COVID-19 that we experienced in Q3 continued in Q4, as Mark described earlier. This growth primarily came from several product lines, tea, our snacks product line, driven by Sensible Portions, yogurt and personal care lines such as Alba and Live Clean. The adjusted EBITDA margin for the Get Bigger brands improved 340 basis points, compared to Q4 last year, yielding a margin of 17.9%. But, it is only one quarter that is the high-end of the EBITDA target range that we communicated during Investor Day in 2019. The Get Better brands which are being managed primarily for profit showed an adjusted EBITDA margin improvement of 360 basis points from Q4 last year, yielding a margin of 8.3%. Now, let me shift to our International business where results for the quarter were consistent with our expectations. Net sales decreased 3% and were roughly flat when adjusted for foreign exchange, compared to Q4 of last year. Foreign exchange represented a $7 million headwind. Similar to Q3, the impact of COVID-19 on results for the quarter were mixed. Our non-dairy product line with brands such as Joya and Natumi delivered strong growth during the quarter. The Linda McCartney and Hartley’s brands with leading market share positions in the UK also experienced robust growth. In contrast, as Mark stated, our food business with large exposure to the foodservice channel experienced decreases in revenue, although this was in line with our expectations. Nonetheless, adjusted gross margin and dollars and EBITDA margin were all up in the quarter versus the prior year period. Now, shifting to cash flow. Fourth quarter operating cash flow improved by $72 million to $93 million; and operating free cash flow, defined as operating cash flow less CapEx, improved by about $79 million from practically zero in the prior year period. For the full year, operating cash flow improved by $118 million to $157 million and operating free cash flow improved by $132 million to $96 million. These improvements resulted primarily from stronger earnings, a decrease in cash using working capital and a decrease in our capital expenditures. At the end of Q4, our inventory was $51 million lower than the levels at the end of June 2019, mainly driven by divestitures, a reduction in the number of shipping locations in our network and the COVID-19 surge in demand for our products. Throughout the quarter, we have been replenishing inventory, while maintaining our service levels. And we expect to be at normalized levels as we enter the second half of 2021. Our cash conversion cycle was consistent with the prior quarter of 53 days. This is below our target of 60 days, driven by the decrease in inventory levels just mentioned. Capital expenditures in the quarter were $14 million compared to $21 million for the prior year period due to COVID-related delays in receiving equipment from suppliers. As a result, for the fiscal year, CapEx was approximately $61 million compared to $76 million in fiscal ‘19, at the lower end of our guidance. So, we closed the fiscal year on June 30th with a cash balance of $38 million, net debt of $245 million and gross debt leverage of 2.1. This is a healthy balance sheet with excellent capital allocation flexibility. Given the decrease in leverage due to the Company’s strong performance, we are investing in all attractive internal opportunities, and we have also executed share repurchases at attractive market price. In fiscal 2020, the Company used $60 million to repurchase 2.6 million shares with 2.4% of our outstanding common stock. This leaves us with $190 million of additional repurchases authorized under our 2017 share repurchase authorization. Now, let’s turn to our final key aspect of our financial results, our outlook for the business. As Mark mentioned, we have tremendous confidence in our team’s ability to manage the controllable aspects of our business, but given the ongoing uncertainty related to COVID-19, including the magnitude and duration of the pandemic and its impact on consumer shopping behaviors, we have decided not to provide specific guidance for fiscal ‘21. Also, Mark already covered the Company’s perspective for the first quarter and first half of ‘21, I would like to discuss the full year in more detail. Because of the divestments and brand discontinuations, $60 million have been removed from the fiscal year 2021 days. For the full year compared to prior year, we anticipate the following. Gross profit dollar and margin expansion, strong double digit growth in adjusted EBITDA with continued margin expansion and strong digit growth in operating free cash flow. In addition for 2021, we expect capital expenditures to be around 4% of net sales. This is an increase from fiscal 2020, which will be used to accelerate several large productivity projects across our supply chain. Our cash conversion cycle is expected to be consistent with our target of 60 days. In summary, we made a tremendous amount of progress in fiscal 2020. We delivered top-line growth versus prior year in the two consecutive quarters. We delivered profit margin expansion versus prior year, every quarter. We improved our cash flow generation and we have built a healthy balance sheet. We believe Hain Celestial remains well-positioned for long-term growth even as we continue to navigate through the pandemic. We remain confident in our transformational strategic plan and ability to make further improvements in fiscal ‘21 and beyond. I will now turn the call back to Mark.
Mark Schiller: As you can see, we had a tremendous year. Hopefully, you got a good understanding of our results, momentum and expectations for fiscal 2021 this morning. We will provide more detail around the fiscal 2021 plan, key drivers and outlook in the coming months, starting at the Barclays conference in two weeks. On behalf of our Board of Directors and management team, I’d like to thank our global team at Hain Celestial for how well they have embraced our transformation journey and executed against our goals, particularly in this evolving and dynamic environment. What we’ve collectively achieved in fiscal ‘20 is just the beginning of the success that we believe lies ahead for the Company. With that, let me turn it over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from lines of David Palmer with Evercore ISI.
David Palmer: Thanks. Good morning. Question on gross margin, you reached over 25% in the second half of the fiscal year, which was great. I know you’ve targeted 30% gross margins over time. When do you think Hain can reach that sort of a gross margin? And to-date, a lot of the gross margin expansion has resulted from divestitures and other rationalization. Of course, you had that boost with regard to COVID, during this period, which will continue into the next fiscal year. So, how should we think about the pace of improvement from here? And maybe you want to break that down also into the Get Bigger versus Get Better portfolio. Thanks.
Mark Schiller: Yes. I’ll be happy to take that one. So, look, we’re going to see continued steady progress on margin. You saw several hundred basis points of margin growth this year, about 250 something points in the fourth quarter. And frankly, had it not been for the fruit business, you would have seen another 170 something points of margin expansion on top of the 25% that we delivered. So, we clearly have an issue on the fruit business that we have to deal with. But, if you take that aside, we’re already close to 27%, and we will get several hundred basis points on top of that. The Get Bigger brands are already at the 30% margin level. And we said that we anticipate that we will get those more into the mid-30s. We’re well on track to do that. The key to doing that continues to be top-line growth because most of those are self-manufactured, and we get tremendous absorption benefits as we fill up the plant. We also have very robust programs in terms of automation. We have some consolidations left to do. We still have some opportunity on SKUs and on uneconomic spending. So, we continue to believe that there’s significant margin improvement to be still had on the Get Bigger brands. And by the way, mix also plays a big role on those businesses as well. On the Get Better brands, which -- remember, back at Investor Day, they were 50% of our sales and virtually zero percent of our profit. They are now about 33% of our sales in North America, and 20% of our profit. So, they’ve significantly improved the margin 600 basis points over the year, and we expect again that there will be continued improvement. They’re coming through the same kinds of things. Design to value, taking out the bells and whistles that consumers aren’t willing to pay for in the products, and cost reducing them, continued management of distribution of warehousing costs, better forecasting which leads to less discard and customer fines. And there is a mixed benefit within there as well because there are some high margin businesses in the Get Better bucket like our oil business that’s growing double-digit now. And so, there’s a mixed opportunity within the Get Better bucket as well. So, long story short, we expect -- you’ve seen a couple hundred basis points of margin this year, we expect to see another couple of hundred basis points of margin next year. And by the time we get to the F’22 plan, we should be delivering pretty darn close to that 30% margin that we promised.
David Palmer: Thank you. That’s helpful. Just a quick follow-up, if you were to think about fiscal year beyond the COVID period, fiscal ‘22 is probably the first clean year, is the EBITDA for that in your own internal planning, EBITDA for that year higher after versus say six months ago, either as a result of COVID itself and some of the factors you see playing out, or just internally what’s running in parallel in terms of your own portfolio management? How do you think about your post-COVID EBITDA reality versus six months ago? Thanks.
Mark Schiller: Yes. It’s a great question. Very hard to forecast that given that nobody knows at this point what post-COVID looks like, and how much of these incremental triers that we’ve got are going to remain. So, it’s hard for me to answer the question. What I would say though is, we were transforming the business before the pandemic. I had promised that you would see the top-line starting to bend on the Get Bigger brand beforehand. I think, in one of the charts that we put in with the earnings today, you’ll see that there was I think 8% growth on the Get Bigger brands the month before the pandemic started. So, we had already started to turn it. And right now, all of our Get Bigger brand categories we’re seeing growth in. And if we can sustain that growth, we will have a very robust profit picture when we come out of COVID. Obviously, there’s a lot of the game to be played between now and the end of COVID. But, I think given how we have performed during COVID, given our scrappy entrance into things like hand sanitizer, the amount of innovation that we’re bringing out right now at a time when others are pulling back on innovation, the addition of marketing at a time when others are pulling back on marketing, I think all of that sets us up for a very good exit from COVID. But, it’s premature right now to say what that looks like in terms of the P&L.
Operator: Our next question comes from the line of Ken Goldman with JP Morgan.
Anoori Naughton: Good morning. This is Anoori Naughton for Ken. I have one question and then one follow-up. The first question is, within personal care, you’ve benefited from strong hand sanitizer sales in the fourth quarter. So, to what extent are you guys expecting sales in this category to continue to remain strong into the first quarter and beyond?
Mark Schiller: So, the hand sanitizer opportunity was obviously once in a lifetime opportunity that came in front of us. We did have a business in Canada. We quickly expanded into the U.S. We had a strong fourth quarter in hand sanitizer. But, if you go to the store now, you’ll see pretty much every store in America has got a lot of hand sanitizer in it. So, the good news is, we are picking up permanent distribution on sanitizer. So, whereas a lot of these others are kind of in and out, and there have been many instances where people are using the wrong kind of alcohol and had to recall their sanitizer. So, we think we’re going to have a nice steady business for the long haul. We don’t anticipate that sanitizer sales are going to be as elevated as they were during the beginning of the pandemic. But, it’s a very nice incremental business that we didn’t have before, and it makes a great addition to personal care portfolio that was growing very nicely beforehand and continues to grow very nicely through the pandemic.
Anoori Naughton: Okay, great. Thank you. And then, for a follow-up, I just wanted to ask a little bit about, are there any brands or categories that’s maybe lagging your expectations or areas that you’d call out where you could improve in fiscal ‘21?
Mark Schiller: Yes. So, from a pandemic standpoint, the two categories that have been hit the hardest are fruit, which we talked a lot about on the call, and baby food. Moms were making their own baby food when they were self isolating and mashing up bananas and carrots and things that they would typically buy in a packaged good format when they’re out and about and needs something on the go. We’ve seen that category start to rebound, but we certainly -- we have been unhappy with the results that we’ve had in baby over the last five, six months. That said, we have a terrific brand in the UK, Ella’s, which is a super premium brand, category leader. It has consistently picked up share during the pandemic. Although again, sales have been somewhat challenged. And in the United States, we have Earth’s Best, which is another fantastic brand. You’ll remember that Earth’s Best only had a 2% EBITDA margin on Investor Day. So, we’ve been very aggressively doing SKU rationalization on that business and have improved the profitability considerably, but we are now returning to how do we get the top-line back to low single digit growth. So, that’s where we’ve got some work to do. We have some innovation coming, particularly in snacking and baby food, which is a much higher margin than the formula and the pouches. So we’re optimistic that we will start to see the top-line turn and he profitability will continue to expand.
Operator: Thank you. Our next question comes from the line of Michael Lavery with Piper Sandler. Please proceed with your question.
Michael Lavery: You had mentioned that for the quarter, COVID had virtually no net impact on the top-line at the total company level, and obviously you called out some puts and takes between fruit in UK and then the upside in the U.S. But, you still have at the total Company level where in around a mid single digit range. So, would we hear you correctly that that’s your expectation for a normalized top-line growth run rate?
Mark Schiller: Yes. So, what we did was looked at what was our expectation for the quarter before COVID happened and what did we actually deliver? So, we delivered pretty much to the penny what we thought we were going to deliver on the top-line. What’s important again, to note is we had a $25 million drag from the fruit business. So, that business by itself had a big impact on the overall COVID results. We saw some nice bump in the results in North America. We saw some nice bump in the grocery business in Hain Daniels. I would tell you that the European non-dairy business has been growing high teens for several years and frankly we’re capacity constrained. So, it has nothing to do with COVID with, the fact that that has been growing as rapidly as it has been. But the $25 million drag from fruit offset the $25 million of gain that we had in those other parts of the business, netting up to basically zero for the quarter. I know, it sounds hard to believe, given COVID that there was no impact. But, the math basically says, we were up 25 and then we lost it all on fruits.
Michael Lavery: Yes, I think the mechanics you’ve laid out really nicely. So, I just want to understand maybe the thinking on a normalized pace and just if you plan was for the same, arguably good top-line level, is this depending on which way you measure kind of 3 to 7, call it mid-single-digit growth rate what we should expect in a normal world is a little bit what I’m trying to get at I think.
Mark Schiller: Yes. So, what we had promised on Investor Day was mid single-digit top-line on the Get Bigger brands. We were not quite there yet. We had been declining 1% to 2% in the first half and it was turning at the beginning of third quarter to low-single-digit top-line. The International business had been growing about 1% to 2%. We would expect that would have been its run rate ex-COVID. And the Get Better brands, which had been declining mid-teens, we said we were going to get it into the minus 5% to minus 10% range, and it was moving in that area before COVID hit. So, I think we’re still -- if you strip everything out, I would say we were pretty much at our long-term guidance already on the top-line on the Get Better brands and the International piece, and we were moving toward our long-term guidance on Get Bigger with more work to do. So, we’ve really gotten the biggest bump on the Get Bigger brands, but we had momentum before we’ve got all this great innovation and marketing that I’ve been talking about that frankly has been muted by the pandemic, because our ability to sell in innovation right now is less than it would have been otherwise when customers aren’t resetting their shelves. So, I think long story short, low-single top-line digit on Get Bigger and International and mid to high-single-digit decline on Get Better is about where we were performing before the pandemic and without COVID about where we would be right now.
Michael Lavery: Okay. That’s helpful color. And a quick follow-up on margins. I know you called out the several hundred lift in -- basis-point lift you expect for first quarter. Can you just give a quick sense? That historically has been a seasonally lower quarter. I know your portfolio has evolved. Would that still be true or is your margin run rate stabilizing across the year a little bit? Just trying to get a sense of just quite how high this might go.
Mark Schiller: Yes. Q1 is typically our lowest margin quarter. You remember, we’ve got a big tea business and soup business. And so, we tend to skew more heavily to the winter. The only business we really have that is summer oriented is sun care, and you sell all of that in the spring. And then, the retailers see how much they sell through during the hot months. So, really, it is our lowest volume quarter, and therefore because we have less absorption in the plants where it tends to be our lowest margin quarter. That said, we’re exiting ‘20 with very strong momentum. We are two-thirds of the way through the quarter. And I’ll tell you we’re off to a very good start. And then, the guidance that I gave around the quarter, we feel pretty confident that you’re going to see some nice margin expansion within the quarter.
Michael Lavery:
Operator: Thank you. Our next question comes from the line of Bill Chappell with Truist Securities. Please proceed with your question.
Bill Chappell: Hey. Just kind of big picture, I mean, you certainly in North America have some strong momentum, even excluding COVID. Just trying to understand, are there -- your retail partners recognizing that? And when I say that, as you look out to the planogram reset, to the innovation coming, stuff like that, is that something that resonate in terms of shelf space gains or is it just so chaotic, but there’s such a mad rush for everything, right now it’s tougher to pick the winners and losers per se for the retail partners? So just kind of your thoughts, I know it’s a ways off before the spring planogram reset, but there is some in the fall. So, any thoughts there?
Mark Schiller: Yes. So, our relationships with customers have dramatically improved in the last 18 months for several reasons. First and foremost, we were not servicing the business 18 months ago. We had 70% service in personal care for nine months as an example. We couldn’t keep the shelf stocked, so just our ability to keep the shelf stocked has improved our relationships, number one. Because any conversation with a retailer when you come in and talk about promotions or innovation or whatever, their first response is I don’t even want to talk to you until you can service the business. So, we’ve checked that box. Second, we came into the pandemic where other people really struggled with the surge in capacity, and we really serviced the business nicely through the pandemic. So, we have again also kind of won some grounding points, if you will, around our ability to service the pandemic and things like the scrapping is on hand sanitizer when nobody could get it, and we were able to go to customers and provide them with something they desperately needed. All those kinds of things improved the relationship. Then, on top of that, we are now bringing a ton of innovation at a time when other people are pulling back their marketing and pulling back on their innovation, because they’re just trying to service the business. So, for example in tea, where we’ve been growing 30% plus for the last five months, we’re introducing 14 new items in tea. And they’re not just here’s another flavor of Sleepytime tea, it’s energy, it’s probiotics, it’s melatonin, it’s a whole bunch of things that really didn’t exist before within the category that is being very, very well received by customers. So, we’re bringing innovation at times when others aren’t and we’re bringing real innovation versus line extensions. And that is going to bode well in terms of us picking up space. And then, the last thing I would just say is, you got to remember, over the last 18 months, we’ve been reducing SKUs and eliminating uneconomic spending. So, as you’re pulling money away from people and cutting back on the push with the retailer to grow the category, now that we’ve pivoted toward growth again, we are getting a very good reception from people and they are excited about what we’re bringing. So, I believe that we are very well set up to be a net winner during the pandemic and a net winner coming out of the pandemic because of all the factors that I just mentioned.
Bill Chappell: Got it. No. That’s extremely helpful. And just as a follow-up, back to kind of the gross margin question early on, I mean, clearly some of the gross margin benefit is just because you have high utilization rates. And so -- and I know we don’t know what consumption looks like post-COVID, but presumably, it will go down some. So, I guess, how important is the step up in CapEx over the next year to kind of holding those gross margin gains, or can you -- do you believe that actually gives you gross margin on top of what the gains you have, you can hold on to it and improve with this CapEx?
Mark Schiller: I think, it will be on top of what we have. So, look, one of the theses that we had when we did Investor Day was that the margin expansion that we’ve been seeing on the Get Bigger businesses was going to be driven by plant absorption was one of the key drivers. And we’re seeing that as given the surge in demand, we’re certainly seeing very robust margins on the Get Bigger brands. I mean -- we had EBITDA margins of 18% on Get Bigger in the fourth quarter with an investment in marketing which is pretty strong EBITDA margins. Even if there is some mitigation in COVID with the innovation in the marketing, the things that we said we were going to do to continue to grow mid to high-single-digits on those businesses that absorption should be there into the future. The productivity programs that we have built in for fiscal ‘21, there is a lot of automation on the back end of those lines. They are still very manual and bringing automation will improve the margins even further. And then, there is all the continued things that we’ve been doing in the middle of the P&L, like filling up truck. When I got here, there was no volume minimum and no bracket pricing. So, you’ve got the same price, whether you put one palette on a truck or if it was a full truck. And so, there was no incentive for people to fill up trucks, and we were paying for the same driver, the same maintenance, the same gas with an empty truck that now has moved from one or two pallets to on average a half a truck, and hopefully as we move forward we’ll move toward being a full truck. So, there is still plenty of innings left in the ball game in the middle of the P&L in terms of margin, and we expect that those improvements will be on top of what we’ve already delivered.
Operator: Our next question comes from the line of Rob Dickerson with Jefferies. Please proceed with your question.
Matthew Fishbein: Hey. Good morning. It’s Matt on for Rob. Congrats to you and the team on the solid execution this year, all things considered. And thanks very much for the question.
Mark Schiller: Thank you.
Matthew Fishbein: So, as you’ve pointed out before, your 60-40, North America-International split allows you to compare trends and share strategy successes between the two segments. So, while the International business is trying to look more like the North America business from a top-line acceleration and margin expansion perspective, relative to peers without significant international exposure, you’re getting a more hands on education on pandemic trends abroad and potentially future trends here in the U.S. So first, just generally, what are simply the key differences that you’re seeing between where that the U.S. consumers with COVID and perhaps the macroeconomic situation versus European and Rest of World markets? And in your opinion, are the European consumer behavior changes post lockdown still the best guess for what’s to come down the pipe for the U.S.?
Mark Schiller: Yes. It’s a great question. What’s interesting about International, it’s largely European business for us, UK and Continental Europe. It behaves a lot like the U.S. states do. So, you have some states that are in lockdown and are very slow to open and you have other states that are acting like there is nothing going on. We see the same kind of behavior in Europe. So, the UK, I would say is still the one under the most lockdown, restaurants have not opened yet, people are not working back in the office. And so, the impact of the pandemic is much more like the beginning of the pandemic was here. When you get to Continental Europe and you look at places like Germany or Austria where we have factories, it’s business as usual. I mean, they’ve been going through the office throughout the pandemic. They have an open society. There is very little restrictions. Restaurants are full. People don’t wear masks. It’s a very different dynamic. So, it really depends on what you’re looking at specifically. What I would tell you overall I think Europe has its act together more than we do. You see that in the strengthening of their currencies versus the dollar. And I think that they have figured out how to contain the pandemic and keep the economy moving where it’s been more either or here. We’re either doing one well or the other well. And so, I think there are lessons to be learned in terms of how they’re managing it. I think there is -- and I think we are moving in that direction and we’ll be closer to Continental Europe as we move forward. But, that’s probably -- for my business, that’s the best leading indicator of what’s coming here. I don’t have great visibility into Asia as an example. But, I think Continental Europe is ahead of us and the UK is behind us in terms of kind of reopening of society and getting back to business as usual.
Matthew Fishbein: Okay. Yes, that’s very helpful. And I guess on that topic. Do you have any visibility into the International businesses, household penetration repeat rates in isolation, or how would they compare to North America trends, and would that even be a fair proxy for North America trends directionally going forward?
Mark Schiller: Yes. I don’t have as much visibility into like the panel data that we get here. In the Europe business, which is largely driven by our non-dairy beverages, a good portion of that is private label. So, we don’t even buy the syndicated data. We have some good brands there. They grow 20%. Like I said, we’re more constrained by capacity than anything else. We could grow faster if we could get capacity faster, which is what has been our kind of relentless rally cry here. I think, in the UK where we have a lot of number one and number two share brand, I think the surge from the pandemic was smaller than we saw here. And so, I’m seeing high-teens growth on the Get Bigger brands here. I’m seeing more like 10% growth on the brands there. But, I don’t have great visibility into panel data in terms of increased households and repeat rate. But, I do see similar center of store growth. I do see growth in more of the cooking brands, like we see here in the United States. So, I think the consumer trends are similar. It’s just a little bit more of a muted surge and certainly a slower reopening of the economy.
Operator: Our next question comes from the line of Alexia Howard with Bernstein. Please proceed with your question.
Alexia Howard: So, first of all, can I just dig into the productivity improvements that are quoting [ph] the pumped CapEx this year? I think you’ve alluded to what kind of projects those are going to be, but how much cost saving do you actually plan to get out, over what time frame as a result of those -- that spend? And then, I have a follow-up.
Mark Schiller: Yes. So, all of the projects -- we obviously look at the IRR and the NPV, I’d say on average, you’re looking at a two to three-year payback on the capital. We have probably 25% more capital this year than last year. So, there is a robust number of productivity projects that we have, and the implementation of those projects are staggered throughout the year. Some of them have already taken place. The others will take place in the middle of the year or later. And the other thing I would mention is, with this integration of varying divisions in international, similar to what we’ve done in the U.S. with Canada, there is a whole stream of productivity projects that are just being finalized that will start to come on line toward the end of the fiscal year and will reap big dividends as we get into F22. So, I think you’re going to see similar several-hundred basis points of margin expansion this year from productivity and a lot of acceleration of productivity projects into the F22 algorithm, given the timing of the spending this year.
Alexia Howard: Great. And as a quick follow-up, how much do you expect your marketing spend to be up this year, and how much was it up in fiscal ‘20?
Mark Schiller: Do you know, how much it was up in ‘20? Javier is looking up the exact number. I knew it grew in three of -- the last three quarters of the year, but we’ll get you that number while I answer the other question. What’s interesting right now on marketing is, if you think about it, airlines aren’t marketing, cruise lines aren’t marketing, hotels aren’t marketing. So, the cost of marketing has dropped dramatically. So, for flat spending, I can get 25% to 30% more bang for the dollar than I did in previous years. So, the amount that I’m going to spend this year, Alexia, is going to be dependant really on the cost, right? So, if I can get 30% more impact for the same spending, I probably won’t increase my marketing very much this year. But, I’ll get a hell of a lot more for what I’m spending. If the economy comes back and everybody starts to spend at more normalized levels and the costs go back up, then we’ll have to evaluate whether we need to add more spending or not. So, it’s a little bit of a dynamic number, depending on the cost per impression relative to what I’ve been paying historically. And this year, Javier?
Javier Idrovo: Yes. So, for this year, Alexia, our overall marketing spending grew about 5%, that’s 2020 versus 2019. And for 2021, the total dollar amount will be consistent with how we grew the marketing in 2020.
Alexia Howard: Got it. Thank you very much. I’ll pass it on.
Mark Schiller: Yes. The good news Alexia, just one last comment is, we’re getting close to 5% of sales on marketing in North America, but it’s higher for the Get Bigger brands and lower for Get Better. So, we’re in a pretty good place on our spending. The one category, we’re probably still a little light on is Personal Care, because it’s more of a fashion business, if you will and tends to have higher spending levels. But, across the rest of the brands in North America, I think our spending levels are pretty good. So, it really comes down to improving the effectiveness of what we’re spending, putting more into working dollars instead of non-working dollars. We’ve done a lot of agency consolidations to get more of those dollars working, and then, what’s really the cost of what I’m buying relative to what I paid historically.
Operator: Thank you. Our next question comes from the line of John Baumgartner with Wells Fargo.
John Baumgartner: I guess, first off, Mark, I wanted to come back to -- you highlighted the strength in the International sales excluding the fruit business. And last quarter one of the themes was that private label in Europe was benefiting from consumer trade out. And I’m curious, why do you think private label is seeing that trade out in Europe, but as of yet, you haven’t really seen in the U.S. I mean is this purely just differences in government stimulus do you think or is there something else going on at retail that explains the differential?
Mark Schiller: Yes. So, in Europe private label is a much, much, much bigger percentage of sales than it is in the U.S. The development of private label is double what it is here. You’re looking at categories with 30%, 35%, 40% private label, whereas here, it’s a much smaller number. So, consumers are very used to buying private label. They consider those brands as good as the stuff coming from the manufacturers that are branded. And so, it’s a very different dynamic. So when I tell you, we’ve got a big private label non-dairy business in Europe, that is important because 40% of the category is private label. So, even if you want to be a branded player, you probably have to provide some level of private label to get your foot in the door on the branded side. So, it’s not surprising to me that in a pandemic where people are cash-strapped, they’re worried about their future that they are trading down to private label. Here, I don’t think people are as cash-strapped because of all the stimulus that we’ve put in place and private label is less accepted here and used in normal life than it is over there. So, we’ve not seen a very big impact at all for private label thus far in our categories. And we don’t anticipate that that’s going to change very much as we go through the pandemic, particularly given that this is a virus and people are very worried about health and wellness. They’re worried about immunity. They’re worried about staying healthy. So, being at the core of health and wellness, which is where our Company is situated, I think, we’re very well positioned for this pandemic relative to other people that we compete against.
John Baumgartner: Okay, great. Thanks for that. And then, just a follow-up on cash usage. I mean, leverage is in a very good place right now at 2 times, as you mentioned. But, there wasn’t much activity in terms of share repurchase in Q4 as the stock moved higher. How do you think about the order of importance from here? I mean are buybacks still the top of your list? Is M&A still at the bottom? And in terms of M&A, with all the moving parts on restructuring right now, at what point will the activity be complete where you feel like you can bolt on, integrate new assets. When do you have that bandwidth, if you don’t have it already? Thank you.
Mark Schiller: Yes. Let me answer the first part and then I’ll have Javier talk about our capital allocation strategy. So, look, we are continuing to reshape our portfolio and there will be additional divestitures along the way. But, a lot of the heavy lifting has been done. We’ve gotten rid of almost $800 million worth of sales over the last two years. And while there still is a tail and you saw that in the four brands that we divested in Q4 and Danival that we divested earlier this quarter, a lot of the heavy lifting has been done, but there is -- the fruit business is something we’re going to have to deal with at some point in the future. We are ready for acquisitions if the right one comes along. So, I’ll let Javier talk about our capital allocation strategy. But, now that we’ve got debt in a good place, we’re looking at a number of ways to return value to shareholders. So, Javier?
Javier Idrovo: So, I would echo what Mark said. I wouldn’t necessarily say that share repurchases come higher than M&A. I think, we look after we take a look at all of our internal opportunities, I think we look at -- we’re sort of agnostic as to where to put our money and we evaluate M&A, and if it’s attractive, we dive deep into that and -- otherwise, we look at share repurchases. So, it’s just a matter of where do we think it’s the most attractive place to put our money.
Operator: Thank you. Our next question comes from the line of Anthony Vendetti with Maxim Group.
Anthony Vendetti: Thank you. Just a quick follow-up, Mark, on the fruit business. I know, you’re aggressively trying to address that. Do you have a timeframe on when you expect to reach a decision on that? And then, just a follow-up on the online business, what have you seen there during this quarter?
Mark Schiller: Yes. So look, on fruit, we are exploring optionality as we speak. So, we recognize it’s a non-core asset, it’s a different skill set, it’s very low margin, and it has become a very significant drag on our performance that’s masking some terrific performance in International and muting the overall performance of the Company. So, more to come on that in the future, but we are aggressively looking at options there. With regard to online, as I’ve said on previous calls, this is a very significant part of our business. It’s more than 10% of our sales. It’s been growing close to 100% consistently since the beginning of the pandemic. And we have -- we were -- this Company started in the natural channel and e-commerce. So, we are very well positioned there. We have very strong relationships. The one piece that has picked up considerably that was not really a big part of our e-commerce business previously was Instacart, which is now a very meaningful part of our e-commerce business. But, we’ve always had a very robust, the Amazon business I think I’ve said on previous calls that Sensible Portions is one of the top food brand on Amazon. We sell a ton of personal care on Amazon, we sell a ton of baby food on Amazon. And now with the resurgence of walmart.com and target.com and Kroger, we continue to see very robust growth across the board, and it has not really slowed down much at all. There was that initial massive surge in March and it’s kind of stabilized at about double what it was pre-pandemic.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I’ll turn the floor back to Mr. Schiller for any final comments.
Mark Schiller: Thank you all for your time today. Obviously, we are coming off a very strong year and feel very bullish on the year ahead. I hope you all have an opportunity to attend Barclays in a couple of weeks. We’ll bring some more color to our plan for F21. But, thank you for your time today and we look forward to continued dialog. Have a great day.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.